Operator: Good afternoon, everyone, and welcome to the Kaltura third quarter 2025 Earnings Call. All material contained in the webcast is the sole property and copyright of Kaltura, Inc. With all rights reserved. For opening remarks and introductions, I will now turn the call over to Erica Mannion at Sapphire Investor Relations. Please go ahead, Erica.
Erica L. Mannion: Thank you, Operator. I am joined by Ron Yekutiel, Kaltura's Co-Founder, Chairman, President, and Chief Executive Officer, and John Doherty, Chief Financial Officer. Ron will begin with a summary of the results for the quarter ended September 30, 2025, and provide a business update. John will review the financial results for 2025 in greater detail, followed by the company's outlook for the fourth quarter and full year of 2025. We will then open the call for questions. Please note that this call will include forward-looking statements within the meaning of the federal securities laws but not limited to statements regarding Kaltura's expected future financial results and management's expectations and plans for the business, including our planned acquisition announced earlier today. These statements are neither promises nor guarantees and involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Important factors that could cause actual results to differ from forward-looking statements can be found in the risk factors section of Kaltura's annual report on Form 10-K for the fiscal year ended December 31, 2024, and our other SEC filings, including the quarterly report on Form 10-Q for the quarter ended September 30, 2025, filed with the SEC. Any forward-looking statements made during this conference call, including responses to your questions, are based on current expectations as of today, and Kaltura assumes no obligation to update or revise them, whether as a result of new developments or otherwise, except as required by law. Please note, we will be discussing non-GAAP financial measures, adjusted EBITDA, non-GAAP net loss, and non-GAAP gross margin during this call. For a reconciliation of these measures to the most directly comparable GAAP metric, please refer to our earnings release, which is available on our website at investors.kaltura.com. Now, I will turn the call over to Ron.
Ron Yekutiel: Thank you, Erica, and thanks to everyone joining us on the call this afternoon. Today, we reported total revenue of $43.9 million for 2025 and subscription revenue of $42 million. We posted a record adjusted EBITDA of $4.2 million, representing our ninth consecutive quarter of adjusted EBITDA profitability driven by a strong non-GAAP gross margin of 70%, up from 68% in the same quarter last year. Cash flow from operations was $9.3 million, in line with our forecast of strong cash flow in the second half of the year. Non-GAAP net profit in the third quarter was $2 million, representing the fifth consecutive quarter of non-GAAP profitability. Before continuing the review of our third quarter results, I would like to discuss some exciting news. After market close today, we announced that we signed on November 5 a definitive agreement to acquire Ethof.ai, a deep tech GenAI lab developing conversational AgenTek AI technology and models for real-time photorealistic avatars, speech recognition and generation, and screen understanding. Esoft Avatar technology is planned to power a new line of Kaltura immersive real-time conversational virtual agents which will hear, speak, see, and understand, and harness video in other forms of rich media to provide highly engaging, personalized, customer and employee experiences. It is also planned to serve as the foundation of a new Kaltura content creation tool which would enable customers to create and publish videos with recorded avatars. This dual capability positions ESOP as an important driver of both our live conversational agentic experiences and next-generation video on demand content creation offerings. In our previous earnings call, we reiterated our vision to transform our AI agent from reactive prompt-based agents into proactive, automated, conversational, ambient agents that will anticipate needs and take action to not only drive productivity but become intelligent enough to replicate human roles and automate tasks acting as AI twins. We also said we plan to gradually evolve our offerings into AI specialists that are intended to be role-aware, use case-specific, and ultimately also industry-specific. Likewise, our investor presentations throughout the past year outlined our intent to launch immersive AI agents that would be fully automated, conversational, hyper-personalized, and context-aware, elevating us from powering video experiences to providing end-to-end video-based AI-infused customer and employee experiences. We believe we are entering the decade of agents where Avatar-based conversational agents will become a primary interface for work, learning, and entertainment. To meet this shift, organizations will require a real-time video experience generator that assembles scenes, user interface, and narrative based on user intent. Instead of static pages or precut videos, real-time immersive agents will use user context, goals, constraints, and accordingly, construct personalized digital experiences that include a tailored dialogue, visuals, data overlays, and calls for action to drive the best outcome on every digital touchpoint across all employee and customer journeys. The planned acquisition of eSelf, which is expected to close in the fourth quarter of this year, is an important milestone in achieving this vision and in our evolution from powering video content management and experiences to harness the capabilities to provide immersive virtual agents for customer and employee experiences. In our transformation from a video company to a rich media-powered AI-infused CX and EX company. After this acquisition, customers will continue to receive from Kaltura cutting-edge products to manage their video lifecycle, publish, and stream content online and on TV, run virtual events, etcetera, but the plan is that soon customers will also get from us two additional new offerings. First, a Kaltura-powered content creation tool that generates AI-based videos on demand with both photorealistic and animated avatars. And second, immersive conversational virtual agents with live avatar interfaces that utilize real-time video creation and repurposing, voice chat across over 30 languages, image creation, interactive whiteboarding, and screen sharing. This will include a wide array of prebuilt off-the-shelf agents that are optimized to fulfill CX, EX, and industry-specific tasks and roles as well as development tools and professional services to create these agents for customized needs. These immersive virtual agents will address tasks and fulfill roles in areas such as marketing, sales, customer care, recruiting, onboarding, teaching and training, communications, entertainment, and more. Essentially, they represent the next generation of Kaltura's recently launched AI-based genies, turning them into fully conversational agents and adding to them a mouth, ears, eyes, and a face. So they could better fulfill human roles, increase customer and employee engagement and retention, streamline and accelerate processes, reduce costs, and increase revenue. We plan to integrate and offer ESOP technology alongside our current video experience products, as well as offer eSelf-powered immersive virtual agents separately as new self-serve offerings which are expected to boost our product-led growth go-to-market motion, and expand our target market from large enterprises to also small and medium businesses across industries. Examples of potential integrated offerings include enabling the creation and insertion of avatars to VOD assets within our VCMS platform and video portal product, as well as adding live conversational avatars to all our products, including video portal, LMS and CMS extensions, virtual events and webinars, virtual classroom, and TV streaming apps. Examples of potential new self-serve offerings would be CX, EX, and industry-specific immersive virtual agents based on the combination of Genie and the Avatar interface that would be easily embeddable in any website and online application. These self-serve agents will include native integrations with a full suite of Kaltura products, so if warranted, they would enable our customers to harness the full powers of Kaltura across video creation, management, distribution, publishing, and monetization. ESOP was founded by Dr. Alan Becker and Elan Shoshan, and is home to an exceptionally talented team of more than 15 AI experts in the field of computer vision and vision language models, NLP, and speech. The company commenced development in 2023 and has recently started piloting its offering and receiving strong early user endorsement and industry recognition, including being recently honored by Staff Company as one of the next big things in tech in 2025. We engaged with the Esoph team as they were switching gears from piloting to further hardening and scaling their offerings towards full commercialization, and they appreciated the opportunity to join hands with Kaltura to accelerate this process and their go-to-market motion because of our proven track record of successfully commercializing enterprise products, our highly synergistic technology and product portfolio, our strong market positioning, and prominent customer base. In recent months, we presented together the planned joint offering and its future potential and promise to various Kaltura customers and prospects across industries and were met with great interest and excitement. People love the rich multimodal conversational interface, appreciate the ability to integrate it deeply into their enterprise workflows and systems, and are excited by how it connects with Kaltura's products and the vast video database that we manage and draw insights from. We believe that closing this acquisition will enrich our technology and AI development talent base, boost the breadth, depth, appeal, and mission criticality of our offerings, increase our addressable markets, shorten our sales cycles with a new PLG motion, and altogether, support revenue growth. This transaction will also support the repositioning of Kaltura from a video company to a media-rich AI-infused CX and EX company, from providing video products as an end to harnessing them as means for improved employee and customer engagement and success. As for the deal structure of the ease of acquisition, the purchase price consists of $7.5 million in cash, payable upon closing, $12.5 million in cash payable over three years contingent upon the attainment of specific earn-out milestones of incremental recognized revenue, and 4.7 million common shares of Kaltura vesting over three years subject to retention holdback provisions for ESL founders and key employees representing 3% of the company's outstanding stock before the deal. The total deal value as of the day of signing, assuming all earn-out milestones and retention targets are achieved, is approximately $27 million. We believe that this deal structure provides significant value accretion to Kaltura shareholders while at the same time, recognizes the ESOP team and shareholders for their great achievements to date and their expected significant future contribution to our joint success. For further details regarding ESOP and the transaction, please refer to the press release sent out this afternoon. You can learn more about our planned joint offering post-closing and the potential exciting opportunity ahead by visiting www.kaltura.com/avatars-agents. Next, I would like to turn to discuss another announcement from today, the repurchase of Kaltura common shares held by Goldman Sachs. Goldman Sachs invested in Kaltura in 2016. They have been a strong supporter of the company and have held all their shares since that time. Considering the extended duration that they have owned our stock, and in line with their publicly traded strategy and efforts to harvest long-tenured non-core investments, we have come to an agreement to repurchase all their Kaltura shares at a 25% discount to the thirty-day VWAP. The deal concluded on Friday, November 7, whereupon we repurchased 14.4 million shares representing 9.2% of our outstanding shares that day, for a total price of $16.6 million. Our board believes that this represents a smart, timely, and value-accretive move for all company shareholders and is committed to pursuing similar rewarding opportunities in the future in conjunction with our planned increased generation of cash and operational profit. It is worth noting that following the Goldman Sachs share repurchase in Q4 and the expected closing of the ESOP acquisition, the company is forecasting to close the year with approximately $660 million in gross cash, representing approximately $30 million in net cash after deducting our outstanding bank debt. Furthermore, once the acquisition closes, the net combined impact of these two deals, assuming all the ESOP transaction shares will ultimately vest, represents a reduction in our share base of 9.8 million shares, translating to a 6.2% anti-dilutive accretive effect. So we expect to come out of these two transactions with stronger technology offerings, positioning, and business opportunities, far fewer shares outstanding, and more than enough cash to execute our exciting future plan. Returning to the business update, new subscription bookings in the third quarter were comprised of twelve six-digit deals, including new customers such as a large Japanese conglomerate, a leading European professional services firm, and a prominent Asian telecommunications company. As for AI deals, in the third quarter, we closed five AI deals for ContentLab and Genie, following last quarter's initial sales with a multinational fast-food restaurant chain, a leading US-based healthcare provider, and three universities. We expect many more AI deals in the quarter ahead. In fact, more than previously forecasted, given the earlier stated accelerated efforts in this area. On the last earnings call, we forecasted new bookings to pick up in the second half of the year. While this has not happened yet in the third quarter, our current pipeline supports this pickup in the fourth quarter. On the gross retention front, the gross retention rate in E and T continued to be strong in the third quarter, and we still forecast an annual E and P gross retention rate in 2025 that is better than that of the previous four years. M and T growth retention rate was better than that of the first and second quarters, though still lower than usual as forecasted. We continue to expect a strong M and T growth retention rate in the fourth quarter. Moving on to the product front and beginning with our continued and growing investments in our AI offerings. In the third quarter, we expanded our family of Genie agents with additional features and functionalities. As mentioned before, these developments help prepare our genies to become proactive, automated, conversational, and ambient agents. As discussed, soon, they are expected to become fully immersive with the addition of a mouth, ears, eyes, and a face. As for ContentLab, in the third quarter, we enabled custom instructions designed to empower content creators and administrators to guide the AI with specific prompts to ensure that the generated clips emphasize the right messages, that the summaries and chapters match their communication style, that the generated metadata aligns with their internal taxonomy, and that the generated quizzes fit their specific learning objectives. Lastly, AI development, in the third quarter, we launched the first version of our new publishing agent, which automates the entire process of publishing content, taking over complex and repetitive tasks that previously required manual efforts. Once the content creator or administrator defines the publishing workflow and rules, the agent is empowered to take action and make decisions autonomously to ensure content is prepared, enriched, and published according to policy, including automated captioning, clipping, quiz insertion, metadata generation, and content approval. I want to tie all these AI developments together and also connect them to my earlier statements about eSelf and our exciting AI plans to evolve towards providing immersive virtual agents. Our AI offerings and consequently, our entire product portfolio is becoming smarter, richer, more accurate, consistent, interactive, engaging, reliable, and compliant. Our offerings are becoming more contextualized and personalized, are saving people and organizations more time and money, and are assisting in achieving more mission-critical business goals. As stated before, we are excited about this transformative transaction and the continued repositioning of Kaltura from a video company that powers video content management and experiences to a rich media-based AI-infused customer and employee experience company that specializes in harnessing the power of rich media to deliver better business results. Moving beyond our AI innovation, in the third quarter, we delivered a broad set of enhancements across our portfolio. Our virtual events and webinars product supports events with much larger scale, fewer manual steps, and lesser human resources, thanks to a more streamlined setup, including event application and our new events MCP model, a powerful new way to connect our platform with AI assistant or third-party AI system. In the video portal front, we fully integrated the modern Kaltura Studio, enabling our customers to run events directly from the portal with full chat and collaboration support, offering an integrated and streamlined live experience. We also upgraded our LMS and CMS extensions in virtual classroom with native embedding, so instructors can deliver live and on-demand classes without leaving the LMS, and students can learn in the same place. Finally, our underlying platforms for video and TV content management gained improvement in hyper-personalized content discovery, the experience API, analytics, and security. We are proud to continue to lead the market with the most robust, flexible, and engaging video and TV platforms. Continuing beyond our products, in the passing quarter, we hosted four Kaltura Connect in education events across the US, where we discussed how AI is transforming the way institutions capture, preserve, and personalize knowledge, empowering educators and learners with smarter, more connected experiences that drive engagement, success, and student retention. Additional education events are being conducted globally throughout the fourth quarter. During the third quarter, we also showcased at the IBC Broadcaster Conference in Amsterdam our newly launched media publishing agent, and the latest enhancements in our TV Genie offerings and ad monetization options. Beyond education and media and telecom markets, for the broader enterprise market, we conducted several executive-level dinners across the US and Europe and showcased our offerings at large industry conferences like DigitalX by Deutsche Telekom, CEMA, IFMA, and DevelHub. The focus of the conversation was our new and upcoming AgenTic offerings for customer and employee experiences, and we were met with great interest and excitement. In summary, we wrapped up another quarter where we surpassed the high end of our subscription revenue, total revenue, and adjusted EBITDA guidance, as well as our expected cash flow from operations. Our pipeline still indicates a pickup in the level of new bookings in the fourth quarter for both E and T and M and T, coupled with an expected improvement in our M and T growth retention rate. We continue to be fueled by customer consolidation around our platform, the maturity of our newer products, and our exciting new Gen AI offerings that are expected to yield more bookings in the quarters ahead. As for our outlook for the remainder of this year, we are guiding for the fourth quarter a sequential increase in total revenue for the first time this year. This embodies a fourth-quarter subscription revenue guide that is at the same level as our third-quarter results after taking into consideration revenue recognition delays with two existing customers. We are increasing for the third time our adjusted EBITDA guidance for the year and are forecasting to post another record high in the fourth quarter, which is reflective of the strength of our operations and our continued focus on disciplined execution. We are also forecasting another quarter of positive cash flow from operations. We are very excited about joining hands with ESOP to accelerate the introduction of additional video on demand content creation tools and our transition from providing video solutions to rich media-based AI-infused customer and employee experience solutions. We believe this will increase our value, appeal, and stickiness, shorten our sales cycle, increase our addressable market, and support revenue growth. And we see a path to achieving all of this while continuing to grow our adjusted EBITDA profits and cash flow. To that end, we remain committed to achieving double-digit revenue growth in a rule of 30 combination between revenue growth and adjusted EBITDA margin by 2028 or sooner. Lastly, we will continue to look for opportunities to allocate our capital efficiently to increase shareholder value. Now before turning it over to John, our CFO, to discuss our financial results in more detail, I would like to follow up on our announcements in early October about John's upcoming departure on December 5. To thank him again for his great contribution to Kaltura over the last couple of years, and to wish him well in his next endeavor. As noted, we have initiated a search for a new CFO, and John will continue to support and consult the company and its seasoned finance team throughout the search process and new CFO onboarding. I will now pass it over to John. John?
John Doherty: Thanks, Ron. I really appreciate the kind words, and thanks to all of you joining the call this afternoon. I will say a few words about my departure after I cover our third quarter 2025 results. In the third quarter, we surpassed our top and bottom-line guidance, improved our M and T gross retention rates sequentially, and took strategic and tactical actions to allocate resources towards higher ROI opportunities while improving our overall operating efficiency. Touching on a few highlights in the quarter that demonstrate this, surpassing the high end of both subscription and total revenue guidance ranges, a record level of adjusted EBITDA, also surpassing the high end of our guidance range, and representing the ninth consecutive positive quarter of adjusted EBITDA profitability, highlighting our continued focus on operating expense management. Strong cash flow from operations, improved M and T gross retention rate, and a continued strong E and T gross retention, which is still forecasted to yield an annual E and T gross retention rate in 2025 that is better than that of the previous four years. And working throughout the quarter to subsequently announce the signing of the ESOP definitive agreement and the repurchase of our shares from Goldman Sachs. With that, let me move on to our results. Total revenue for the quarter ended September 30, 2025, was $43.9 million, down 1% year over year as expected and above the high end of our guidance range of $42.8 million to $43.6 million. Subscription revenue was $42 million, flat year over year. This was also above the high end of our guidance range of $40.8 million to $41.6 million. Professional services revenue contributed $1.9 million for the quarter, down 14% year over year and consistent with the expected trends we discussed on our previous earnings calls. Before I speak to our remaining performance obligations, the RPO metric, I wanted to let you know that we made an adjustment to this metric this quarter which has also been applied to our historical numbers. Ron spoke to our use of AI as it pertains to our product innovations and the introduction of Genie ContentLab and publishing AI agents. In addition to harnessing AI technology to boost our own offerings, we are adopting new AI-based systems internally to improve our operations and controls. To that end, as part of a new AI-based scan of all our contracts, to ensure nothing was missed in our records, we discovered that not all contracts with the termination for convenience or TFC clause have been duly reflected in our systems and RPO calculations. For context, the TFC clause means that notwithstanding the defined contract term, a customer could terminate a contract midterm at its sole discretion. The TFC clause is only included in a small percentage of our contracts. And less than 1% of our contracts were terminated before the end of their term, whether through such a TFC clause or without. We do not have reason to believe this trend will change, nor do we have any indication of any customer currently planning to exercise this clause. The current and historic RPO numbers I will now speak to all include this adjustment for consistency. We have also included a slide in the Q3 2025 investor deck that provides a full comparison of our RPO calculation both pre and post adjustments. As a result of this correction, the remaining performance obligations, including an $18.1 million downward adjustment this quarter, were $159.3 million, a decrease of 4% sequentially and year over year, of which we expect to recognize 60% as revenue over the next twelve months. Again, these comparisons are all based on corrected historical RPO figures as well. To close this one out, this correction to our RPO calculation does not reflect any change in our outlook for the business or our growth prospects going forward. Continuing to our other reported KPIs, annualized recurring revenue was $19.1 million, up slightly year over year. Our net dollar retention rate for the quarter was 97%, compared to 101% last quarter, and in the same quarter last year. This decrease was anticipated and is reflective of the increased churn in M and T in recent quarters. As Ron mentioned, we still expect our annual NDR to reach 100%, same as last year, and we are to start improving next year along with an improved gross retention in M and T. I will now touch on the segments briefly. Total revenue of our E and T segment for the third quarter was $32.4 million, a slight increase year over year. Subscription revenue was $31.8 million, up 1% year over year, while professional services revenue contributed $500,000, down 37% year over year. M and T segment performance improved sequentially in the third quarter with the deceleration of the churn impact as discussed in the last two earnings calls. Total M and T revenue for the third quarter was $11.5 million, representing a decline of 4% year over year, but up 3% sequentially. Subscription revenue was $10.1 million, down 4% year over year, but also up 3% sequentially. Professional services revenue contributed $1.4 million, down marginally year over year. GAAP gross profit in the third quarter was $30.7 million, up 4% year over year. Gross margin was 70%, which is up from 67% in 2024, and subscription gross margin was 77%, which is up from 75% in 2024. Total operating expenses in the quarter were $32.2 million, compared to $34 million in 2024, a reduction of 5% year over year. Adjusted EBITDA for the quarter was $4.2 million, an increase of $1.7 million or 72% from $2.4 million in 2024. This result is a new record for us, being moderately higher than the previous record that we set both in the first and second quarters of this year, and along with our improving expense and margin profile, highlights our continued focus on improving our operating efficiency over time. I will discuss this more in a moment. GAAP net loss in the quarter was $2.6 million or $0.02 per diluted share. This is an improvement of $1 million year over year. Non-GAAP net profit in the quarter was $2 million, or a penny per diluted share. This is an improvement of $2 million year over year. Moving to the balance sheet and cash flow, we ended the third quarter with $84.1 million in cash and marketable securities. Net cash generated by operating activities was $9.3 million in the quarter, up $6.6 million from 2025, however, a decrease of $1.4 million year over year. You may recall that in 2024, we did receive a $2.3 million payment from a large customer that had been delayed from the second quarter in 2024. As Ron touched on earlier, given the two transactions that were signed after the third quarter close, it is worth noting that following the Goldman Sachs share repurchase and the ESL acquisition expected to close in Q4, the company is forecasting closing the year with approximately $60 million in gross cash, representing approximately $30 million in net cash, after deducting our outstanding bank debt. As Ron mentioned earlier, while new bookings have not yet experienced the expected second-half pickup, our pipeline of opportunities for both E and T and M and T points for this to occur in the fourth quarter. As our strong adjusted EBITDA and net operating cash flow indicate, we are gaining operating leverage, and we believe we are in a strong position to support a growth in demand, which we expect would be further accelerated in the upcoming quarters as we continue our evolution to provide immersive virtual agents. In addition, we continue to effectively manage through the churn we experienced in M and T this year, as well as the continued uncertain macroeconomic environment. Let's now turn to a quick update on the reorganization we announced in early August. While still early, we are on track to realize the benefits that we discussed on the second-quarter earnings call, namely incremental savings of $2.6 million in 2025, and $8.5 million on an annualized basis. The total one-time charge related to the reorganization was $800,000 in the quarter. As stated, these reductions are not expected to affect our marketing and sales activities, which we still plan to sustain and gradually grow. Finally, a few financial comments related to the ESelf acquisition. The deal is expected to close around year-end, and we expect the acquisition will have minimal financial impact on 2025 numbers. This is driven by ESL's burn rate, which represents approximately 2% of ours, and their non-material revenue in 2025 as they only recently started piloting their offerings. We expect to start recognizing incremental revenue from the acquisition by 2026 following further hardening, scaling, and commercialization of their offering as well as integration with our platform and products. We will provide guidance for 2026 on our next earnings call, but can already reaffirm our plan to continue increasing our adjusted EBITDA profits and cash flow. I would now like to discuss our outlook for 2025 and for the fiscal year ending December 31, 2025. Regarding the fourth quarter, we are guiding for a sequential increase in total revenue for the first time this year, as Ron touched on earlier. We expect total revenue to be between $45 million and $45.7 million. As Ron also noted, we expect subscription revenue to be at the same level as our third-quarter results after taking into consideration revenue recognition delays with two existing customers. We expect subscription revenue in the fourth quarter to be between $41.6 million and $42.3 million. We expect to hit in the fourth quarter another record high level of quarterly adjusted EBITDA that would be between $4.2 million and $5.2 million. Accordingly, for the full year, we are expecting subscription revenue to be between $170.9 million and $171.6 million and total revenue to be between $180.3 million and $181 million. For the full year, adjusted EBITDA, we are raising our guidance for the third time this year to be between $16.6 million and $17.6 million, a $1.8 million increase of the middle of the guidance range. This is close to a $10 million year over year when compared to the $7.3 million adjusted EBITDA of 2024. As Ron mentioned, we are expecting to post again positive cash flow from operations in the fourth quarter. In summary, E and C gross retention remains strong, and we have continued to manage through the delayed M and T churn that impacted us this year, and believe that M and T gross retention will be strong in the fourth quarter. Our new bookings pipeline suggests improvement in the fourth quarter and in 2026, driven by momentum in our sales pipeline, which also includes exciting potential AI deals. We are on very solid ground given the financial operating leverage we have built over the course of the past two years. It has allowed the company to allocate capital strategically to support organic growth, to buy back over 21.3 million shares since June 2024, and to pursue the acquisition of Ecell to advance our evolution in 2026 and beyond. As most of you know, this will be my last earnings call for Kaltura. My decision to move on to another opportunity, while, of course, a professional choice, was also very personal for me with mixed emotions. Kaltura is a special company with a very passionate and committed team, strong senior leadership, a very talented CEO, as you all know, and a top-notch finance organization. The company is very well positioned within the existing markets it serves, and will be even more so with the acquisition of Ecell, as well as exposure to new market opportunities. My belief in Kaltura has never been stronger and deeper than it is today. As I have said in the past, and I want to reinforce here, I know that the company is committed to targeting both revenue growth and adjusted EBITDA profitability. And I believe that the company is on the right path to achieve these objectives and to drive consistent returns to shareholders. Our target continues to be to achieve double-digit revenue growth, the rule of 30 combination between revenue growth and adjusted EBITDA margin by 2028 or sooner. As I have said before, Kaltura has achieved this goal in the past, and I know that it will achieve it again. The company will provide guidance for 2026 when it reports Q4 2025 and 2025 full year, in February 2026, but as discussed, is already confirming our intent to continue growing our adjusted EBITDA and cash from operations. With that, we will open up the call for questions. Operator?
Operator: Thank you. We will now be conducting a question and answer session. If you would like to ask a question, please press A. You may press 2 if you would like to remove your question from the queue. For participants using speed equipment, it may be necessary to pick up your handset before pressing the star keys. And our first question will come from Ryan Koontz with Needham. Hi, this is Jeff Hopson on for Ryan. Thank you for the question and congrats on the acquisition.
Jeff Hopson: I guess I had one on the acquisition. Any thoughts on, you know, the investments that are gonna go into, you know, the new product and how it's gonna integrate in. I guess, and, like, day one, will sales reps be able to sell the product? Or was that second-half revenue contribution kinda got into, you know, like, six-month period of investing in a product.
Ron Yekutiel: Yeah. Thank you very much. So in short, I would say I would focus more on the second half, not to say that things can come earlier. But we would like to set the goal kind of in a realistic comfortable way for us to get there. Big move for us, there's a lot installed for this, and it's not about immediate gratification. It's about strategic long-term value. Share a little bit about that, maybe give you a bit more information about cost structure, and how much will be needed to be invested plus what are the type of developments for your question. But first, why are we buying new stuff? And as I noted, it's like for twenty years enterprises have been streaming video. But with the advent of AI, video can be created on the fly in a very hyper-personalized, contextualized way, and we have been talking about that. Last one and a half years, we have been building AI-based agentic video workflows, and we launched our Genie family of products for work, school, and TV. And with that, we are able to repurpose video delivered in real-time. Customers, employees use that, flashcards, images, short videos. But what it did not include is an actual video representation. And now what we are doing with ESOP technology is we are giving Genie a face, mouth, ears, eyes, that's gonna be human. It's gonna be fully conversational. It's gonna also see, quote, unquote, your screen. They could do a sharing and maybe at a later time take over your screen. And that's really important. It's part of this move where we are gradually changing our mission statement, from powering video experiences to powering immersive virtual agents and experiences. So the immersive virtual agents are, again, the genie and the next generation, which it's not just video, it's fully immersive, and these are agents. It's not just about the experience. It's about replacing roles, replacing people. As such, we are moving from being a video company to a video-based CX and EX company. We believe that real-time AI-generated video and avatars are the next user interface, and we believe that each and every meaningful visual CX and EX touchpoint will be rendered as real-time video. We think navigation is gonna transform from static to conversational and seeing the video. Video carries so much emotion and context and intention. It's gonna provide a much more engaging and hyper-personalized experience. So we are excited about that. A word about, you know, what we are gonna do with this, and I am happy if there are any later questions to talk more about, you know, why we chose Eself and why they chose us. But generally speaking, Safav, what we are gonna do that's very different than some of the other folks are gonna do first. We are gonna be offering these agents running on our VCMS and TV CMS. We are gonna gradually productize them as standalone and self-served agents. And they are gonna run on any website and any app. And they are gonna cater to sales, marketing, customer care, recruiting, training, employee communication, teaching, entertainment, banking, everything. Right? So we are gonna build them. We are gonna integrate them into the product. So that's gonna be connected to our portal, connected to our events, connected to our TV system, connected to our virtual classroom, connected to the LMS. And we are gonna also connect them to more third-party systems. So you could expect to have it fed by CRM, Dan, CDP, element, you know, LX Bs LMSs. We are gonna also build a soft development kit and SDK so that could integrate a third-party agentic logic. And ultimately, we are gonna also add tools for VOD avatars as discussed. So you asked about the time to market. It will take a bit to scale it. To make sure that it's fit for compliance and security that it could run on a larger database. That's gonna take anywhere between one and two quarters. Gonna commercialize the agent. We are gonna do the integration. Everything we just said, it will gradually take the next year, but certain things are gonna come much, much quicker. I want to end up just saying why I think this differs so many other options out there. There's not a lot. By the way, they are all big and exciting. You may have seen some teaser recently. Decline a $3 billion offer by Adobe. So it said. And they raised $4 billion from Alphabet's JV fund. Agen is there. Thales is there. So there are companies that are quite exciting. We are optimized for conversational more so than others that are doing VOD. And we also include the agentic logic. It's not just the avatar. It's not just a pretty face. It's about having a smart engine behind it so you could boost the business results. But that's unique. Another thing that's unique is that it's connected, as I mentioned earlier, to our video system. So we are gonna serve within these experiences hyper-personalized rich media content. I also mentioned it's gonna be connected to our SaaS products, and that's unique. And, also, lastly, when you think about the fact that we are hitting the ground running, it's the same customers, same buyers, same use cases, and we have a very significant data and workflow mode because we are sitting on a mountain of rich data. At years of classes, meetings, events, which we are gonna feed it. And so that's extremely, extremely unique. And I am just gonna end up by saying this is the only public company that we are aware of. In this space. There's a bunch of private companies that are doing very well. But from a public company investment, it's exciting. So and also lengthy answer. I want to make sure that we all understand the context. I did promise lastly to say something about the spend. I mentioned revenue second half. But from a spend perspective, their current spend of about 17 people is $3.5 million added to our OpEx. That's gonna be added starting to be at the end of the year, coming from closing throughout next year. We might add some more people for R&D to double down on this effort. I do not think we are gonna need to add SNM or customer service or G and A because we could have that covered with our team. So all in all, that's kind of the impact, and we said we are gonna continue to grow bottom line. And I am just excited that we are entering a big market with a very differentiated technology.
Jeff Hopson: Awesome. Thank you. And maybe just one follow-up. As we kind of look into Q4, just curious if there's any specific verticals or customer cohorts that are kinda coming in better or worse than your expectations. That's a good question.
Ron Yekutiel: I mean, we have seen so what are we seeing in the third quarter? We have seen the gross retention starting to get better in M and T. We said that Q4 is going to get even better. So we are happy to see this kinda land in the right place. We did say that the new bookings, the kind of the sequential increase did not happen in the third quarter, and it is, we said, second half. So it's gonna what we see is we expect that to happen in the fourth quarter. It is happening in both M and T and E and T. So we expect that trend to build up in both of them.
Jeff Hopson: Thank you very much.
Ron Yekutiel: No. Thank you. Appreciate it.
Operator: And, again, that is star one if you would like to ask a question. And we will go next to DJ Hynes with Canaccord.
DJ Hynes: Hey. Good evening, guys. Congrats on all the news. Very exciting stuff.
Ron Yekutiel: Thank you, DJ.
DJ Hynes: Well, maybe also yeah. Of course. Ron, maybe I will start with you. I am just curious. Are you seeing any tangible signs in the customer base that the adoption of AI technologies is increasing either the velocity or the amount of video content created? I am just curious if there are data points that support that the thesis is already starting to play out or if it's still a little too early here.
Ron Yekutiel: So it's definitely there's excitement that, you know, the more we have seen more people interested in utilizing Genie and ContentLab. Again, we closed five deals this quarter. Both education, enterprise, there's more around the corner. The list is growing. They are using that to generate more video, period. The whole idea of recreation, repurposing of videos, is one of the biggest issues of AI. So we are seeing that happen. Like I said, I think that the big jump is gonna happen in continuous investment in the regular stuff we have done, but also with this Genie 2.0. And I think that's 2026, so I am very excited about that. From a multi-quarter trend, there's no doubt it's getting there. Again, we have been careful from the beginning to talk about how quickly revenue is gonna hit. Because there are issues pertaining to compliance and just the rapidity in which people fully adopt these things that take a bit of time. But we have been out there in conferences showcasing also the new vision. We have people take cameras out and take photos of what we have been doing in video. Their jaws dropped. The excitement level is really high. We have had some of our customers, including the very biggest customers that we have, couldn't talk to us about what they could do with us now. So there are very, very interesting buying signs to the new stuff that we are doing. But look. We, you know, as we do not overpromise. We like to overdeliver and we also want to build this company for the mid to long term. It's not a tell-me market. You know, it's a show-me market. And, it's not overnight. I also want to set that stage that it's gonna take a few quarters here. It could come quicker. It could take a bit longer. But I think that as we go through this, we are gonna have more and more design partners, more and more launch partners. Hopefully, we would be able to share these as they come by. Hopefully, they are gonna be big and exciting, so everybody's gonna get excited by that. But we see this as very, very disruptive.
DJ Hynes: Yeah. Good to hear. And then maybe we could just follow-up on the rev rec delays you called out with two customers. What is causing those? And when do you expect those issues to be rectified, and we could start to see that revenue drop in?
Ron Yekutiel: Yeah. That particular there's a couple of customers that's to the tune of half a million-ish in that. Otherwise, if you add that up and it's kind of look at our current guide and maybe if we were as usually yes or no gonna meet our guidance, maybe go above and kind of coming back to the original numbers. Because we have taken it just a tad down. But let's wait and see what happens in Q4. These two are one of them is E and T. The other one is M and T. And it's really projects that were planned to have happened by the end of the year. And they spilled over into next year. And so that's gonna take a little bit longer after that, whether it's fully in Q1 or a little bit after. That's just news coming for the customers for reasons that relate to them which was not pre-known to us. And when it did come up, we needed to adjust for.
DJ Hynes: Okay. So it's not a Kaltura delivery issue. It's counters on behalf of the on the customer end. Okay. Got it. Okay.
Ron Yekutiel: That's correct. It's something that has to do with them. You know?
DJ Hynes: Yeah. Makes sense. Okay. Thank you, guys.
Ron Yekutiel: I appreciate it.
Operator: And this now concludes our question and answer session. I would like to turn the floor back over to Ron Yekutiel for closing comments.
Ron Yekutiel: Yeah. Appreciate that. Again, a special day for us. You know, it's once every few years, we make a leap that is inorganic in this form. If you look at our past behavior, when we have done these, they have landed significant big customers. Required DaVinci in 2014, brought in Vodafone that kinda brings $20 million a year. We brought in Neuro in 2020, and that brought in AWS. Brought in on the first year close close to $13 million a year. So it's not just the issue of technology and strategy and positioning. But the very significant, we believe, potential commercialization and revenue. It's an exciting new step, which is aligned very much with what we have been talking about for a long time. It's not a new direction. It is an evolution into the right direction, which is to become a full CX and EX platform that harnesses video in order to be a better CX and EX platform and that harnesses AI at Genie 2.0. We are excited. We love the team that's joining us, and we love the DNA mix that they bring. We commend them for what they have done so far, and thank Alan, Alon, and his team for choosing Kaltura as their partner and to continue the journey together. We are excited from what lies ahead. We did not mention, but we also repurchased stock, quite significant stock this quarter. So we are ending up as I mentioned earlier, with a lot more technology and exciting opportunity with far less shares. So it's anti-dilutive accretive value for shareholders at a great price. We are able to hopefully command the growth and profitability that we are planning to command in the quarters ahead. And that's it. I want to thank everybody for their continued trust and support. Once again, as we wrap up, thank my friend here and colleague, John, for his great support and partnership. We are gonna remain close friends, and we are gonna continue to work together. And he's gonna continue to consult the company in the months ahead as we bring in the new CFO. So and, of course, amazing, amazing finance team and leadership within the finance team that's enabling this transition to happen. We have the number one finance team in the world. So thank you, folks. Appreciate it. Have a wonderful day. Take care.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may disconnect your lines, and have a wonderful day.